Operator:
Masakazu Negoro: Today, I will explain in the order of the materials provided to you. First, please take a look at the key highlights on Page 5. We have positioned fiscal 2025 as a year to build a solid foundation for global growth toward achieving K27. To that end, we will accelerate a budget cycle of steadily increasing profitability, primarily in our stable earnings area and reinvesting the profit earned there into growth areas. In the first quarter, we steadily executed our basic strategy and made strong progress toward achieving the K27 target. We achieved both sales growth and an increase in operating margin. In cosmetics, we made a smooth start toward achieving the operating income target of ¥7 billion for fiscal 2025. In addition, we are making steady progress in building the foundation for global growth in UV care, which is key to achieving K27 along with cosmetics. On the other hand, U.S. tariff policy is creating new risks. We expect the impact of tariffs on our business to be minor and are taking measures to minimize the impact, and we maintain our earnings forecast for fiscal 2025. Details will be provided later. Please turn to Page 6. Net sales was up 6.6% to ¥389.9 billion. Excluding the impact of currency translation, net sales increased 6%. Growth margin improved 0.5 percentage points year-on-year to 38%. Operating income was ¥31.2 billion. The operating margin improved significantly to 8%. Net income attributable to owners of the parent was ¥22.8 billion, up 38.7% or ¥6.4 billion year-on-year. Earnings per share were ¥49.19, a significant increase of 38.9% year-on-year. Please turn to Page 7. Net sales and operating income are as shown here. What is particularly noteworthy here is that operating income for the first quarter exceeded ¥30 billion for the first time in four years. The rise in raw material prices was absorbed by improved earning power, and the transformation of the cosmetics business also pushed up profits. The transformations aimed at achieving K27 are beginning to bear fruit as planned. We will continue to follow this trend in the second quarter and beyond, focusing on our focus areas to lay the foundation for global sales expansion. ROIC improved by 1.5 points year-on-year. Please turn to Page 8. Net sales for the first quarter of fiscal '25 were ¥389.9 billion, an increase of 6% on a like-for-like basis. Last year, we transferred the pet care and beverage businesses, so the figures excluding these are shown in blue. From now onward, I will explain based on the figures in blue. Global consumer care business, hearing after referred to as the GC business, saw a 4% increase in net sales overall, with the Japanese market, which forms the foundation over profits, contributing significantly with 7.6% growth. In Japan, cosmetics grew 10.8%, fabric and home care grew 9.3%, and health beauty care grew 7.1%. Overseas sales, on the other hand, fell by 1.9%. In Asia, this was due to deliberate shift to sales measures that prioritized profits. In Americas and Europe, intensifying competition in the skin care business had an impact but we will strengthen the rollout of brands such as Curél and Bioré UV to increase profits. The chemicals business saw sales growth in all regions. Please turn to Page 9. I will explain the key points of results by segment. There are three points to note. First cosmetics. The six focus brands led the way and the effect of distribution inventory optimization in China is starting to materialize. Operating income improved by ¥4.2 billion due to higher sales and higher profits. Although the first quarter typically has the lowest net sales due to seasonal factors, we were able to limit the operating loss to ¥500 million. Second, sanitary products. Sales and profits for sanitary napkins increased and Merries also returned to profitability. We are strengthening its profit foundation to contribute to consolidated performance. The operating margin improved by 4.4 points to 5.8%. Third, continued contribution by the fabric and home care segment for increased sales and profits. In particular, we enhanced brand loyalty in the Japanese market and increased market share by introducing high value added products. As a result, we achieved a ¥1.7 billion increase in profits offsetting the rise in raw material prices. The health and beauty care business saw a 2.6% increase in net sales. The volume increase which is an indicator of growth was 2.3% contributing to the results. In addition to growth of UV care in Japan and North America, there was growth in premium hair care in Japan. In terms of profits, we invested in marketing for the global expansion of UV care and other products for future growth resulting in operating income of ¥6.7 billion up ¥100 million year-on-year and an operating margin of 6.9%. The business connected business is mainly engaged in commercial use hygiene products. If we exclude the beverage business from last year net sales since it was sold last August, sales were almost flat year-on-year but profits were up ¥400 million because the losses from the beverage business is gone. Overall, the GC business achieved a 4% increase in net sales with operating income increasing significantly by ¥8.2 billion year-on-year to ¥22.8 billion and the operating margin improved by 2.6 points to 7.9%. The chemical business sales volume was flat from the previous year but profits were maintained by passing on the increase in raw material prices for fats and oils to sales prices. We will continue to engage in price adjustments in the second quarter. Please turn to page 10. I will explain the analysis of the ¥9.2 billion difference of operating income between the fiscal quarter '24 and '25. Overall, we achieved results that exceeded our plan. I will explain the sources of profit that we presented at the previous fiscal results briefing divided into improvements in earnings power and growth strategies. The effect of improvements in the earning power of the GC business was ¥4.5 billion. This is the amount obtained by adding up profit contributions from selling price adjustment and other costs of sales such as CCRFX [ph] and change in product mix and then deducting the increase in raw material prices. Next, the contribution from growth strategies. The GC business saw a 2.6% increase in volume year-on-year which is ¥4.5 billion. From that, subtract SG&A and other expenses and you get ¥1 billion. Finally, the additional ongoing effects from structural reforms including career support and reforms in salon human capital was ¥2 billion. Now please turn to Page 11. This graph shows that the impact of raw material price increases was absorbed through the proactive introduction of high value-added products and cost reduction activities resulting in improved operating margins. The company-wide gross margin improved by 0.5 points to 38% from 37.4% in the first quarter of 2024. The GC business improved by 1.7 points. Incidentally, the chemical segment saw a decrease of 1.7 points due to the impact of price increase prices. Combining the breakdown of the GC business with prior analysis, raw materials impact was minus 1.7 points, impact of prices was 1 point and other cost reduction measures and product mix changes contributed 2.4 points. As of the first quarter, the impact of raw material prices has not been absorbed solely through sales price adjustments but through cost reduction activities and improvements in product mix, we have achieved a gross profit margin improvement of 1.7 percentage points steadily progressing toward our annual target improvement of at least 1 point. We will continue to implement further price adjustments and similar cost reduction activities in the second quarter and beyond. Please turn to Page 12. This figure shows specific examples of product development and manufacturing initiatives aimed at further enhancing earning power. The examples listed here are new and improved products in the fabric and home care and skincare segments this year. All of them offer value propositions that address consumer needs and adjust sales prices to reflect that added value to achieve improvement of both profit margins and market shares. Please refer to the graph below. Since July 2023, around when we announced K27 and structural reforms, Curél's share in household and personal care market has shown year-on-year growth for 21 consecutive months. Page 13, please. Here we highlight the progress made in the cosmetics business which is expected to show significant improvements this year. The cosmetics business, which saw a significant slowdown last year, has begun reforms through a cross-functional, scrum-based structure under a new leadership established in January to achieve an early reorganization thus taking a steady first step toward profitable growth. In Japan, by concentrating investment and sales activities on six focus brands, we have been able to have strategic discussions with customers and strengthen merchandising capabilities. Meanwhile, growth in directly operated e-commerce has accelerated through enhanced CRM or customer relationship management. As a result of these efforts, the six focus brands achieved 125% of the previous year in sales and directly operated e-commerce channel increased to a significant 142% of the year before. And by proceeding with business streamlining measures as planned, including organizational restructuring initiated last year, we achieved a reduction of ¥1.8 billion in fixed costs. In China, while business slowed significantly last year due to distribution inventory adjustments, we have completed the adjustments. Sellout increased to 101% of the year before, exceeding the growth of the market by three points leading to a recovery in profits. Through distribution inventory optimization, sales prices have stabilized, leading to optimized profits at both business partners and our company. This has enabled brand investments, which in turn resulted in increased sellouts representing a positive cycle. Furthermore, products developed and produced locally for the Chinese market are performing well, contributing to the strengthening of our brands. Their composition in sales increased by four points from the previous year. In Asia, other than China, growth was driven by six focus brands, mainly Thailand and Taiwan. An expansion of Curél in Europe has begun, expanding the foundation for growth outside of Japan. Page 14, please. The UV care businesses proceeded with our initial expansion initiatives in each region and sales grew 9% year-on-year in the first quarter of 2025. In the U.S., we focused on top e-commerce chains, achieving a significant 150% year-on-year increase, and implemented effective strategies targeting key retail chains yielding positive results. In Japan, strengthening small-scale initiatives is driving high growth and will expand these efforts to the rest of Asia. We will continue to expand AQUA-rich watery essence as our flagship product, striving toward our longstanding goal of achieving global sales of ¥48 billion by 2027. We'll execute global communications featuring a K-pop group Stray Kids and strengthen evidence-based marketing using easy-to-understand demonstration tests to ensure global growth including Asia, Europe and U.S. Please turn to page 15. Against the backdrop of changes in the U.S. tariff policies, the current economic environment is becoming increasingly uncertain. At this point, we estimate that negative impact on our operating income for the full fiscal year of 2025 will be limited to ¥2 billion at maximum, excluding potential effects of extreme market deterioration. In the GC business, the high ratios of locally sourced raw materials and local production of main products will contribute significantly to keeping direct burden of tariffs limited. However, for some products, there is possibility that additional tariffs on imported raw materials and intermediary goods may have an impact, and we are reviewing our procurement and production systems. In the chemicals business, we are working to minimize the impact by initiatives leveraging our unique technologies while also anticipating the impact of tariffs on products and raw materials. We are promoting the utilization of USMCA, United States-Mexico-Canada Agreement, to take advantage of preferential treatment for U.S. exports by switching to U.S. origin raw materials. Meanwhile, we'll implement measures such as efficient supply chain operations leveraging our global network. For products that are difficult to substitute, such as high-value added products, we'll minimize the impact by adjusting the sales prices through the amount impacted by tariffs. Through these risk mitigation measures, we plan to limit the impact on the operating income to ¥1.5 billion or less in the GC business and ¥500 million or less in the chemicals business. As a result, we currently do not anticipate any changes to our full year forecast. We'll continue to closely monitor the application of tariffs and changes in the U.S. government policies and will take further flexible and agile measures to minimize the impact. Please turn to page 16. This graph shows the outlook for raw material prices, which is the second factor that may affect the operating income for the current fiscal year. Prices for fats and oils and palm kernel oil have continued to rise since the fourth quarter of last year and remain at high levels. We had initially anticipated a decline starting from the second quarter, but partly due to increased demand from China's Oleochemical industry, prices have not decreased. At present, we expect prices to remain at current levels through the third quarter and beyond due to the impact of the EUDR, which is expected to take effect in 2026. On the other hand, crude oil prices are expected to decline below the assumed price due to expected slowdown in demand associated with the economic slowdown caused by U.S. tariffs. Given all these, we expected positive and negative effects to cancel out each other, resulting in an impact of ¥10 billion for the year as initially planned, which we believe we can offset. Page 17, please. Forecast of factors in operating income. Given this situation, we'll explain the breakdown of the ¥160 billion forecast and ¥13.4 billion increase in operating income for 2025. First, we aim to achieve an increase of over ¥14 billion in operating income by enhancing the earning power as initially anticipated. This will be achieved by implementing the 1% improvement in the gross margin of the GC Businesses Plan. We plan to offset the ¥10 billion increase in raw material prices mentioned earlier through a ¥15 billion price adjustment and improvements in other costs of sales. Regarding volume, we expect contributions of a total ¥20 billion from household and personal care and cosmetics in line with the initial plan. For cosmetics, we have resolved inventory issues in China in 2024, enabling us to post sales in volume nearly equivalent to sellout volume, and other regions including Japan are also expected to grow with the operating income to even exceed the initial plan. SG&A expenses are expected to increase by ¥19 billion in line with the initial plan, For chemicals, we had initially anticipated gross profit increase of ¥4 billion, but considering tariff risks, we have revised this to an increase of ¥3.5 billion. As for currency translation and other income and expenses, the main factor was the negative impact from the gain on business transfer posted in the previous year. We plan to hold a briefing session in September on the cosmetics business which is currently undergoing reforms. You also have posted an explanation of EVA and ROIC on our website in response to a question raised at the General Shareholders' Meeting in March this year. This demonstrates our commitment to transparent communication with our shareholders.